Operator: Welcome to Medivir Q4 Report 2025. [Operator Instructions] Now I will hand the conference over to CEO, Jens Lindberg.
Jens Lindberg: Please go ahead. Thank you. Welcome, everyone, to the Medivir quarterly results webcast. We look back at a very eventful quarter marked by great progress and very optimistic outlook to the future. And today, we very much look forward to sharing more details about the great progress, but also -- in our pipeline, but also how we see the future shaping up for the company. If we look back at the quarter, thanks to the recently announced directed share issue to Carl Bennet AB, we're able to add another program to our in-house pipeline as it enables us to initiate the clinical development with MIV-711 in osteogenesis imperfecta, which is a new and strategically important indication for us, and it has comparable market opportunity as we're already seeing with fostrox in liver cancer. The news also comes on the back of MIV-711 being granted orphan drug designation by the FDA. Our second in-house program, the collaboration with Dr. Chon and the Korean Cancer Study Group continues to progress very well. And among other things, the 8 hospitals that will participate in the study have been selected and are eagerly looking forward to get going with the study. And then finally, when it comes to our partnered programs, we've seen very exciting news from our partner, Vetbiolix, with the published landmark proof-of-concept study for MIV-701 in periodontal disease in dogs. But perhaps even more importantly, they have already recruited, as recently announced, 20% of the subjects in their next study, which will be the key study to confirm that MIV-701 is the first disease-modifying treatment, which is also then the critical step to unlock its blockbuster potential. If we take a look at the pipeline, we do have a broad pipeline of first-in-class programs, all of them targeting populations with significant unmet medical need and programs that have the ability to potentially transform care for patients. And today, we'll focus on 3 of the programs. Those have been highlighted here in green, 2 in-house programs and one of the out-licensed. Please note, I made a slight, slight change to the MIV-711 line as I've had some questions today. Just wanted to clarify that the next development step in osteogenesis imperfecta is in osteogenesis imperfecta patients. We don't see a need to do any sort of further healthy volunteer work as a Phase I asset because we've already done that as part of our OA program. So the next step, clinical step is in Phase II and a Phase II proof-of-concept study. Important information, and you'll see that when you access the presentation on our website. Today's presenters here in the room are apart from myself, our Chief Medical Officer, Pia Baumann; and our Chief Financial Officer, Magnus Christensen. And joining us for the Q&A is our Chief Scientific Officer, Fredrik Oberg as well. So with that, let's move into the meatier part of the session, and we'll start with MIV-711, then on the back of the recent directed share issue and what that will enable us to do. And Pia will provide a bit more background on the disease and why we think there's exciting opportunity for MIV-711 and how we see things progressing going forward.
Pia Baumann: Thank you, Jens. So just start with what is osteogenesis imperfecta. And it's a mainly inherited rare disorder where 85% have a mutation in the genes that actually is what collagen 1. And this results in varying degree and severity of the disease, and it could also impact life length. There's a significant unmet need in this population because there are no systemic treatment approved, and for the disease itself, it's characterized by, you have defective bone and cartilage causing that the bones becomes fragile and stiff. It's also called -- maybe you recognize this as brittle bone disease. And this leads to that you will have frequent fractures. Depending on the type of OI you have, I will come back to that, it leads to deformities, pain and impacted mobility. So bisphosphonates are used off-label, and it's often used in growing children to reduce the risk of deformities and particularly in the vertebral spine and also to reduce pain and improve final adult length. So that is the background. We can go to the next slide. So the next slide is showing the different types of OI. And these subtypes are divided into 1, 2 and 4 primarily for those who can actually be suitable for treatment, and it's divided due to clinical severity. So I've already said that it's a heterogeneous disease, which means that there's multiple different types. And some of them are actually not -- they are little like the type 2 and the others that are in the sort of below part of this slide. So we're only going to talk about type 1, type 3 and type 4, which are the main types. And type 1 is mild, is considered mild, but it could also be very different depending on how it actually is displayed in the different patients. And this is making up around 50% of all OI, and they have usually normal height or can have a short stature depending on how severe it is in that type and actually have up to 30 fractures during a lifespan without any treatment. So when we say it's mild, it's still considerable impact on your quality of life. Type 3, which is the next one is severe with the patients having considerable reduced length or stature with deformities and severe scoliosis and can have up to 100 fractures during their lifespan. And type 4 is somewhere in between. It's called moderate and they have -- they are usually short and have variable form of deformities and scoliosis and can have up to around 50 fractures during their lifespan. So this is sort of what we have to work with in. These type 1, type 3 and type 4 would be the types that are considered also for treatment with MIV-711. We can go to the next slide. So just to put the effect of this OI mutation in context, as I said, it's causing mutation in the collagen 1 gene. And to put it in the context of what normally is going on when it comes to building and maintaining strength and functionality of our bone and also to briefly explain what molecular players, as you see here, that are involved in normal bone remodeling, which is -- it's a continuous process that essentially removes the old bone and replaces it with new fresh bone and minerals. And this is a simplified picture as you see here. And there are essentially 2 players. It's the osteoclast and the osteoblast. And then you also have an enzyme cathepsin K, which is what we are inhibiting. So the osteoclasts are the ones that are responsible for resorbing the bone. And normally, it's the old bone, right? It secretes an enzyme, that's the cathepsin K. And that cathepsin K cleaves and degrades type 1 collagen that is the main component of the bone. Then the osteoblasts are responsible for the production of new bone matrix and mineralization because when you have eaten up the old bone, you can replace it with new fresh bone. And the coupling between resorption and formation of new bone are crucial for maintaining this healthy bone, and this is the interplay that is impacted in OI. We can go to the next slide. So in OI, which affects type 1 collagen, I'm saying it a couple of times here because it's -- this is a little bit complicated. The type 1 collagen is the skeleton of the bone, and it maintains flexible strength and normal mineralization, healthy bone. It is a major component of the bone making up to around 90% of the bone matrix. And the OI mutation leads to reduced or defect type 1 collagen, resulting in this imbalance between the osteoblast and the osteoclast interplay that we showed on the previous slide. And this results in increased bone resorption and reduced formation of qualitative bone. And we have also seen in studies increased level of cathepsin K in pediatric studies, which also sort of -- is what we are trying to inhibit in order to restore this balance. We can go to the next slide. So we have the cathepsin K inhibitor MIV-711 that is highly selective on inhibiting cathepsin K. And this could, as I said, restore the balance between the bone resorption and the bone formation in OI. So by inhibiting cathepsin K, the degradation of type 1 collagen can be prevented. The increased bone degradation activity can thereby be inhibited selectively while still preserving the continuous bone remodeling that you saw on the first slide, the interplay and coupling between the osteoclast and osteoblast. This results in the restoration of the balance between bone resorption and bone remodeling to ensure best possible quality of bone in OI. So this is the hypothesis behind this. And we can go to the next slide. So as I said, there are no approved systemic treatments in OI, and MIV-711 have a different approach to those used off-label or are under investigation. So MIV-711 inhibits, as we said, cathepsin K and effectively prevents bone resorption while saving osteoclast functionality and preserves this bone remodeling. This is really, really important, this fact that we have the interplay impact. While, for example, bisphosphonates that are used off-label prevents bone resorption by killing off the osteoclast. And then you also lose the function and the coupling and the bone remodeling. And this creates a negative impact on the formation of new bone. So essentially, you keep the old bone that you have, but you inhibit more resorption. Anti-sclerostin has been investigated in OI. And recently, in December, they announced that their Phase III study had failed. It has been investigated due to the fact that it seemed to be effective inducing new bone formation and also have an indirect reduction of bone resorption. However, the benefit diminished already after 6 to 12 months due to induction of, if you call it, escape pathway or feedback loops that makes it more or less -- ineffective. So this is sort of where we are with other treatments that has been used or are under investigation in OI. So we can go to the next slide. So what do we have? What data do we have that makes us believe that MIV-711 could be very important for these patients. And that is that cathepsin K inhibition has shown significant benefit across multiple bone-related disorders. In OA or in osteoarthritis with MIV-711, it shows a statistically significant improvement in preventing bone and cartilage degradation. And other cathepsin K inhibitors have shown benefits also in osteoporosis with reduction in fracture rate and improved bone mineral density. So -- and just to say that osteoporosis itself shares commonalities with OI such as bone fragility and bone mass loss. That's why this is important as well. And we have also seen a significant and dose-dependent improvement in bone volume and quality versus placebo in osteogenesis imperfecta mouse model. So in essence, the clinical benefit that we have seen of cathepsin K inhibition, this is really supported by the proof of concept in this OI mouse model, and it indicates for us that we would have a high likelihood of success in OI. And that's why we can go to the next slide. We are now initiating or planning for a Phase II proof-of-concept study with MIV-711 in OI that eventually will inform the next pivotal development phase. This study will enroll about 20 patients randomized to 2 arms of MIV-711 with a high dose and a low dose. And the patient will be treated orally. This is an oral compound, and it will be given once daily for 12 months. And the endpoint will include biomarkers for bone resorption and bone mineral density, PK, safety, et cetera. And enrollment is planned to take place at sites in Europe, and there is a huge advantage when it comes to include these kind of patients into a clinical trial, and that is that the patients are already identified and known at the sites why we are hoping that enrollment will be really, really fast. So I will leave it there to Jens.
Jens Lindberg: Thank you, Pia. And I think the feedback that we've gotten from KOLs so far is that these patients are also quite eager to participate in clinical studies due to the significant unmet medical need. So from a commercial viewpoint, if we take then the next step in terms of estimated prevalent population, candidates for treatment, et cetera, then we are looking at somewhere around roughly estimated 80,000 patients across EU, U.S., Japan and Korea. And Pia broke down earlier the subtypes, which is type 1, type 3, type 4, there is a subgroup of type 1 that are many times not diagnosed because they might be too mild. So what we're estimating is that 2/3 of patients are potential candidates suitable for treatment options and to be included in the study. So that leads to -- because of the significant unmet medical need, no approved treatment options. We had anti-sclerostin antibody failure in Q4, and Ultragenyx are looking to scale back. So the opportunity for to be the first approved treatment option is definitely still there. So when we estimate that market opportunity across the market, we're looking at least a USD 3.5 billion annually commercial opportunity. And this is in these regions. It's a bit more difficult due to prevalence not having prevalence numbers in countries like China, but there is no reason why there would be less patients in China. So that's a potential upside opportunity. As the U.S. administration has recently voted to prolong the pediatric disease designation program, we will, of course, move forward and file for that. There's precedent to receive it. And with that comes then, of course, the potential for a priority review voucher. So to sum up, we do have a highly selective cathepsin K inhibitor that across multiple bone-related disorders and including our own mouse model work in OI signals potential benefit with regards to improving bone volume, improving bone quality, preventing fractures. And as we now move with speed to initiate the Phase II proof-of-concept study, there is the potential to be the first approved treatment options in this -- for these patients. And as mentioned, the total market opportunity is significant. I would argue conservatively estimated at $3.5 billion across key markets then with other markets outside of U.S., EU, Japan and Korea as potential upside. So with that, we'll stop with regards to MIV-711, and we very much look forward to sharing further progress as we continue to work to design and get the study up and running. And we'll move to our second in-house program, which is fostrox, which continues to be just as important as it was before, and we continue to move with as much speed as we were before with regards to initiating the FLEX-HCC study as the next step. And Pia?
Pia Baumann: Thank you. And I'm happy to share again that the collaboration with Dr. Chon and the Korean Cancer Study Group is progressing very well. It is super positive to see that the interest in participating in the study has been considerable. And we don't know about the process in selecting this, but we know that there are many hospitals that wanted to participate. So now 8 hospitals have been selected. Importantly, among this, as you can see on this map here, the 3 largest hospitals, Samsung, Asan and Soul Natural have all committed to this study, which is a real quality indicator. This is also a testament to the fantastic work done by Dr. Chon and his team at Bundang Hospital, and we are more than pleased with the collaboration and actually the process that is ongoing. And I'm sure you already know this, but I'm going to say it anyway, as with all studies, formal study approval processes is needed, and it's ongoing also here. And when it's completed, the investigators are eager to start recruiting patients and very much also due to the fact that there are no other studies ongoing in second-line liver cancer in Korea currently. And the unmet need, as we have talked about so many times before, after progressing or intolerance to immuno-oncology, the unmet need is super, super high. And when we know more about exact when the recruitment will start, we will, of course, communicate this with you. So as a little bit of a reminder for -- I'm sure that you have seen this a couple of times now. This is the study design. And as I said, we have 8 hospitals selected. And with these 8 hospitals, as I said before, the 3 largest ones, this really support that we will have a speed of enrollment of the patients and an ability to generate top line results already in 2027. 80 patients will be enrolled in the study. As I said, they have -- all will have received prior immunotherapy combination, and they will be randomized to either fostrox plus Lenvima or Lenvima alone. They will be assessed for response every 6 weeks with the CT/MRI scan and the primary endpoint will be overall response rate. And importantly, also, this overall response rate will be evaluated by a blinded independent committee to ensure that we really have quality results coming out from this study. So I will give it back to Jens.
Jens Lindberg: And without going into this one, I will just say that there continues to be an almost complete lack of movement and progress when it comes to second-line advanced liver cancer outside of our program. So in terms of where we are and in terms of what we're moving forward, we are at the forefront and continue to aim to pace to be the first approved treatment option for these patients. Let's move into the final bit before we take the financials and the Q&A. So just a few notes and slides on the program that is called VBX-1000, which is the Vetbiolix name for MIV-701 and the progress that they have made over the past quarter. So just to provide a little bit of a background, this is also a cathepsin K inhibitor, but suitable for use -- not suitable for use in human, but suitable for use in animals. Vetbiolix, a French biotech -- veterinary biotech company in-licensed it. And they are developing it as a first step for periodontal disease in cats and in dogs. And you see picture here in terms of what it is. So basically, periodontal disease leads to a lot of pain. It leads to tooth loss, it leads to infection. There are no treatment available to stop the process today. And as it progresses through the steps, basically, surgery will be a removal of tooth, which is troublesome, painful and quite expensive, will be the final step of the process. And there are no treatments available. And MIV-711 is the one and only disease-modifying treatment candidate in development as we speak. And they recently presented the first proof-of-concept study. The study actually looked reasonably similar to the one we showed before on MIV-711 in osteogenesis imperfecta, 2-arm study, 10 subjects in each arm, high dose, low dose. But most importantly, they showed clear evidence of potential for disease-modifying benefit, significant effect on biomarkers, but also significant effect on bone parameters such as alveolar bone loss, et cetera. So very encouraging first step and no safety concerns. They are now then moving forward. And just to take a couple of seconds to talk about the potential financial upside here for us as a company. This was out-licensed a few years back. The agreement is quite backloaded in the sense that there are quite small milestones throughout the process, but a healthy share when it comes to royalty revenues and potential partnership payments if Vetbiolix out-license the compound. And the question is then how big of an opportunity is this for a potential bigger player in the animal health field. The dog population is today estimated to be 90 million in the U.S., 70 million in EU. And as many as 80% of those dogs over 3 years of age will suffer from periodontal disease. Some animals, it will be quicker and some animals, it will be slightly later. But as many as 80% will suffer from periodontal disease by the age of 3. Again, no unmet -- so no approved treatment options, providing for a significant unmet medical need. No other treatment options in development to compete with MIV-701. So for us, there is a significant financial upside, which we haven't talked about that much before, and we didn't feel it was necessary until they now move into this step because the step that they are now taking is the critical step to unlock the potential. And for us, significant upside through royalties and potential partnership -- share of partnership payments. We've done in our estimation, in our modeling the annual royalty revenues if this hits and this becomes launched as the first disease-modifying treatment option, the annual royalty revenues that we would anticipate after a global launch are equivalent to the company's current market cap. So it's a sizable upside. And it is the next step, which will basically -- no, I'm looking for a good word. It's the next step that will show whether this potential is there or not. So they have -- we recently announced that they have initiated a randomized, double-blind, placebo-controlled pilot study in dogs to confirm the efficacy. They've included 10 dogs to date out of 51 in total. So 20% of the dogs have already been included quite quickly. And Vetbiolix have announced that they are expecting the top line results already this year during quarter 4. So that will be basically the determining factor as to whether the blockbuster potential is there and if the potential for the financial upside for us. But the data that they've shown in the proof-of-concept study was quite convincing. And if you look at the size of the study here and the number of patients, it's a relatively small study, which is a testament to the -- looking for a word now, not the potential, how confident they are in the efficacy they saw in the proof-of-concept study and the likelihood of this reading out positively. So we're very much looking forward to following the recruitment process and the readout of the results. With that, I will stop on the programs, and we'll move into the financial highlights and Magnus?
Magnus Christensen: Thank you, Jens. Can you please turn to Slide 27, where you can see the financial summary for quarter 4 and for the whole financial year 2025. And as always, all numbers are SEK million. The revenue in quarter 4 was a bit higher than the previous quarter and is primarily related to the out-license of remetinostat and of course, royalty income from Xerclear. Other external expenses were significantly lower in the quarter as it has been throughout the year, and it's reflecting lower clinical costs for the year. Personnel costs were slightly higher and it's primarily due to provisions for the personnel under notice of termination that we had in the quarter 4 this year. And during the period, we booked the write-down of the birinapant project of SEK 29.8 million, and this has no cash impact on the company. So it's more a book written down value. The operating loss for Q4 amounted to minus SEK 42 million, higher than last year, but is related to the birinapant write-down, as I mentioned. And the cash flow from the operating activities in Q4 was approximately minus SEK 6 million. We have a strong financial position at the year-end. We completed a rights issue, raising approximately SEK 151 million before transaction costs, which meant that our cash balance at the year-end was SEK 119 million. In addition to that, as Jens mentioned, we completed a recently directed share issue of SEK 45 million to Carl Bennett AB, enabling the continued clinical development of MIV-711 in osteogenesis imperfecta. And with this, I will hand back to Jens.
Jens Lindberg: And I think that concludes the presentation. And operator, we can move into the Q&A session of the call.
Operator: [Operator Instructions] The next question comes from Richard Ramanius from Redeye.
Richard Ramanius: I have a few questions on which of your candidates or each of the new candidates. Could you give us some more details about the way to the market for MYB-711? What's more need to take it to an approval?
Jens Lindberg: Basically, we see -- the good thing about osteogenesis imperfecta as a treatment from a regulatory pathway point of view is that the anti-sclerostin antibodies and the recent interactions they've had with FDA and other regulatory authorities, it paves the way and shows the way in terms of what is needed. So we see basically, I would arguably a 2-step approach, i.e., the first step is establishing the clinical proof of concept, which we are doing with this study. That takes us into a pivotal phase of development. So then the next phase would then be a larger, and I say larger than sort of 2020 size of that study doesn't need to be super large, but we need to continue to do some work. But the next phase would be pivotal phase. And I guess the one outstanding question that needs to work through, this is adult program -- adult and pediatric population is whether we can combine the 2 populations in one study or whether we need to run them as sub-studies or separate programs. But the next phase would be a pivotal development phase.
Richard Ramanius: Okay. And could you give us some more details about the royalty agreement you have on VBX-1000?
Jens Lindberg: I mean we haven't communicated any in terms of any numbers before. What we have said is that the development milestones, the regulatory milestones right now, including also approval milestones, they are small, I would even say, minor. When we made the deal with Vetbiolix, there was a focus on having a healthy share of royalties and potential partnership payments or out-licensing -- share of out-licensing from Vetbiolix. So we haven't disclosed the percentage, but it's arguably a very healthy percentage, and that's what we focused on. So when I say -- when we do the calculations on the compound having the opportunity to generate as a disease-modifying treatment for us, royalty revenue stream, annual royalty stream of -- in line with our current market cap, I am also not including milestone payments from potential partnering deals that Vetbiolix does. So if they out-license and they generate upfront, they generate milestone payments, we will also take a healthy part of that share as well.
Richard Ramanius: Final question. What is the runway after the latest funding?
Magnus Christensen: Richard, I mean, as I said, we have a strong financial position at year-end and with the directed issue to Carl Bennet. And as we stated in the Q4 report, we assess that existing cash resources are sufficient to cover the planned Phase II study in liver cancer and osteogenesis imperfecta. And that's according to our current plan assumptions that we have today. So I hope that answers your question. And before we said, I mean, rights issue, we had money end of '27. And with the directed issue now, of course, we have -- according to the plans, we have cash runway into 2028.
Operator: The next question comes from Klas Palin from DNB Carnegie.
Klas Palin: I would like to start with MIV-711 and this proof-of-concept study. Where do you stand when it comes to preparations? And perhaps also, I noticed that it's a 12-month treatment. How long -- even though Magnus indicated that your cash runway was into 2028, but how long do you think the study will take to finalize?
Pia Baumann: Good questions. So when it comes to the preparations, I'm sure that you saw the press release when we got some financial from Carl Bennet, which means that we have actually planned for this study before, but we obviously need to do all the preparations that you need to do when it comes to studies. What we are doing currently is that we are pulling together a scientific expert council to get external advice. This is a disease that has many different aspects on it since it goes from pediatric until adulthood. And we need to understand thoroughly what kind of patient population we should include in order to get the results that we are requiring for proof of concept. That is the first one. The treatment time for the patient is 12 months, and that is to get to the primary endpoint that we will select. The benefit for this trial I would say that usually is not in place in other trials and particularly not in oncology trials that we have been doing before is that the patients are already there. They know who the patients are since the majority of them has been diagnosed already at birth or before birth since it's a dominant [ inheritage ] of this genetic mutation, which means that since they're already in place, you can go to those sites you want to go to and they more or less can give you the patient at once. So the enrollment time is usually really short in this kind of stats.
Jens Lindberg: The other element to comment on one of the timing challenges many times in studies like this is the CMC element. One of the benefits is that we do have active product ingredient with MIV-711 since before that we can use. And so there's no need to synthesize additional. So we can cut some of the CMC processes underway as well. So we're moving forward with speed. We can -- we will be able to recruit the patients quite quickly and then they're treated for 12 months. As I think you're picking up here, we're a bit reluctant to give you a date on when the study will start because there's always -- I mean, clearly, we need to do the regulatory interaction and get the formal approval processes in place. But it's very clear from the early interactions with the scientific community and also from the patient advocacy group is that there is an eagerness for studies to happen and there is an eagerness for them to participate. So in terms of getting there, we have a nice, do you say, wind in the back with regards to support in terms of getting there.
Klas Palin: Great. And just also I wonder, I mean, I guess, is this positioning -- are you positioning this treatment and your hypothesis is that this could be a lifelong therapy for these OI patients? Or how should we think about that?
Pia Baumann: I would say that it depends on -- since it's so different depending on what kind of severity you have of this disease, it could be different depending on when you start, first of all. As it is currently, they start already when they are more or less up to 2 years old if they want to use bisphosphonate because that is what they use off-label in order to give them something. If you think about that, then it's all the way until you stop growing. So that is in the pediatric disease. Obviously, that is not a study we can do. So we need to have another endpoint. But when it comes to older patients, it depends on what phase they are in. And as I said, osteoporosis is a little bit similar to this disease when it comes to adults, and it starts earlier in the 40s and the 50s. And then they could need treatment all the way until they get older. So I would see it as a sequenced treatment during the time in their life when they need more support in order to keep their bones in a position that they reduce the fracture rate and degenerative pain and mobility issues. So -- but again, when you develop something, you need to do a study that you have an endpoint. And I think the development of anti-sclerostin, for example, and other treatments for osteogenesis imperfecta has really paved the way for what -- how we can look at this. And obviously, we want to learn from -- I'm not saying there are mistakes, but we are actually going to look into that very, very carefully before deciding exactly how we are going to move on with further development.
Jens Lindberg: If -- I'll say the following as well, Klas, in order to -- if I were you and I would look at it from a modeling perspective, I would divide it into basically 3 on the back of what Pia said, pediatric setting, that would be a chronic treatment through as the children are growing, and I would look at the share of patients and how many will be treated in that setting. Then you have the period when they stop growing until age of 40, 50, where maybe the need will be somewhat lower, at least depending on subtypes. And then the need will increase again when you enter the later stage kind of osteoporosis stage of the patient's life. So I would arguably say the highest share of treatment among patient population in the pediatric setting and then the lower share in that middle section of life and then it increases again, maybe not to the pediatric setting share but to clearly a higher share of patients treated from that 45 to 50 and onwards. That's how I would look at it.
Pia Baumann: You also need to add that some of the patients are not diagnosed until the enter osteoporosis age, right? So you might [indiscernible] think about that as well.
Jens Lindberg: Does that help, Klas?
Klas Palin: Yes, sure. Absolutely. And I just want to jump to VBX-1000 and just a clarification there. But I guess the deal with Vetbiolix, it spans over the patent life. And that's from -- how long is the patent life?
Jens Lindberg: Yes, patent life and the patent life from an animal use perspective is long. That's a wobbly answer. And I'm saying that I know the number, and that's why I'm saying -- or the date, and that's why I'm saying long. I'm just a little bit unsure what Vetbiolix has communicated themselves externally because they've done additional patent application work on it. I'm looking at Fredrik now here to see whether he's guiding me towards, okay, well, this has been shared in terms of -- would you like to add anything, Fredrik?
Fredrik Öberg: Yes, I'm not sure what they have communicated. So maybe we should be careful about that. But yes, the medical use in animals, that patent has a quite long future.
Jens Lindberg: Yes. And it wasn't too long ago, it was initiated. We'll put it that way. So with regards to kind of modeling out in terms of a commercial opportunity, it does -- it's not tomorrow, there's a change, it is quite long.
Klas Palin: Even though they have filed a patent, it's relevant for your deal?
Jens Lindberg: Yes, yes. Yes. Short answer, yes. No hesitation on that.
Klas Palin: Okay. Perfect. I have no further question, but just want to congratulate you on all the progress you have made recently.
Jens Lindberg: Thank you, Klaus.
Operator: [Operator Instructions] There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Jens Lindberg: Thank you. And to pick up on Klas' note then, to summarize, we're quite happy where we are. We look back at the very eventful quarter and the progress made and the future outlook of the company. We are moving with speed to initiate the clinical development of MIV-711 in osteogenesis imperfecta, an opportunity comparable to the size of the fostrox opportunity and the potential to be the first approved treatment options in a significant unmet medical need disease. The collaboration with Dr. Chon and the Korean Cancer Study Group is progressing very well, and the hospitals are ready and eager to get going as we have -- when we get the final approval processes in place to start recruiting patients. And our partner, Vetbiolix has taken quite massive strides towards confirming 701 as a disease-modifying treatment for periodontal disease in dogs and then unlocking blockbuster potential for the drug and for us and clearly significant value upside potential. So with that, thank you, everyone, for calling in, and have a great rest of the day.